Operator: Good day, everyone and welcome to the Lands’ End Third Quarter Earnings Conference Call. [Operator Instructions] Please note today’s call will be recorded, and I’ll be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Bernie McCracken, Chief Financial Officer. Please go ahead.
Bernie McCracken: Good morning and thank you for joining the Lands’ End earnings call for a discussion of our third quarter 2023 results, which we released this morning and can be found on our website, landsend.com. I am Bernie McCracken, Lands’ End’s Chief Financial Officer and I am pleased to join you today with Andrew McLean, our Chief Executive Officer. After the prepared remarks, we will conduct a question-and-answer session. Please also note that the information we are about to discuss includes forward-looking statements. Such statements involve risks and uncertainties. The company’s actual results could differ materially from those discussed on this call. Factors that could contribute to such differences include, but are not limited to those items noted and included in the company’s SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking information that is provided by the company on this call represents the company’s outlook as of today and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and developments may cause the positive company’s outlook to change. During this call, we’ll be referring to non-GAAP measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings release issued earlier today. A copy of which is posted in the Investor Relations section of our website at landsend.com. With that, I will turn the call over to Andrew.
Andrew McLean: Thank you, Bernie. Good morning and thank you for joining us today. Before I turn to our Q3 results, I’d like to congratulate Bernie on his appointment to Chief Financial Officer, which we announced in September after having served as our interim CFO since January. I couldn’t be more pleased to continue working with Bernie and I am more than confident that he will continue to lead our financial organization with abstinence. With that, I’ll turn to our Q3 performance. Our results were characterized by strong execution of our solutions-based strategy to deliver quality for our customers and value to our shareholders. We built on our momentum from Q2, further improved our inventory position, injected newness across our assortment and continued to prioritize gross margin improvement to drive incremental gross profit dollars. Our deliberate strategy to improve development of our solution-driven products generated more profitable sales, resulting in gross margin and profit expansion and adjusted EBITDA of $17 million above the high end of our guidance range. As I have previously noted, we are executing a deliberate strategy to drive higher quality sales with a larger portion of our sales occurring with no or lower levels of promotions rather than simply prioritizing moving units so we can enhance gross margin and deliver increased cash flows. Paired with our work to further improve our inventory position, it’s clear this strategy is working. Q3 marked our third successive quarter of significant inventory and margin improvement, with a 25% reduction and 700 basis points of improvement respectively. We are confident that we have found a winning formula, increasing churns of merchandise while maintaining lower, more efficient inventory due to our targeted customer cohorts. We are taking advantage of the flexibility that our lower inventory levels provide to continuously refresh our assortment with new styles, cards and fabrics more frequently throughout the year. Our customers are responding exceptionally well to this approach. As we introduced last quarter, we transitioned from a demographic focus to be capable focus when it comes to our customers. We are zeroing in on two key high-value customer cohorts, which we call our resolvers and our evolvers in leveraging our proprietary data to better understand their shopping behaviors. As every month, resolvers are the largest cohort of our existing base. Their solutions [indiscernible] addresses that prefer a classic styles and value quality over trends and shot primarily on necessity 2 to 3 times a year. Evolvers are our second largest cohort as an opportunity for growth. They are discovering and refining their style and an ongoing journey, wearing what fits their current loan. They generally have more buying potential and spend more than revolvers. As part of our identity as a solutions company, we are changing the way we think about our assortment and marketing strategy and aligning them more closely to how our key cohorts shop. We are creating more compelling customer journey that provides a more holistic look and build the Lands’ End iconic American brand and the way we design, present and sell our products. We are taking a more outfit centric approach to our assortment and go-to-market strategy designing and prioritizing products across categories that feature significantly more productive inventory and facilitate sales across natural adjacencies. You can see this in how we are showing up in digital and with the look and feel of our website and marketing. As a digitally native company, we are using this new approach alongside our investors to drive more robust engagement with our key cohorts. We are continuing to improve our site experience for more targeted marketing to present our customers with relevant and engaging content to drive quality sales. As a result, we have got increased traffic and engagement from social media and with repeat exposure we expect our social media prospects to continue growing nicely. On the heels of strategic infrastructure enhancements we have made to improve our internal efficiency we have begun to maintain our IT focus to enhance our customer-facing processes. We recently welcomed a new technology leader who has spearheading efforts and work with me to roadmap our strategy and identify leading partners to drive innovation consistent with our asset-light model. Our authority in outerwear solutions was a key driver of our strong performance this quarter, both in the U.S. and internationally. We drove sales in key adjacencies, especially bottoms and sweaters, where new styles in key fabrics like corduroy, denim and velvet and new colors contributed to the strong performance. Of note, demand in nearly all our women’s categories were up double-digits in our U.S. e-commerce business. Our swim solutions finished the summer strong in August and we are looking forward to building on that success with the introduction of our upcoming spring swim assortment, which includes a recommitment to the one-piece category with the creation of our product family centered around our classic topless solution and the enhancement of control-based technologies, including a shaping technology that we have protected via a patent application. Swim remains an incredibly innovative space for Lands’ End to got out and develop. Building on the theme we discussed before, our customers are responding positively to freshness across categories. This is contributing to strong performance in our layering products and transitional outerwear solutions, which gives us confidence that we will be able to continue this trajectory more consistently in the months and years ahead. Our U.S. e-commerce business, our largest direct-to-consumer channel delivered a second consecutive quarter of great margin performance due to our more targeted approach to promotions and improved inventory management. When we offer our customers the solutions they need in a relevant presentation with attractive fabrications, color and value, they are responding and not necessarily waiting for discounts at the level we have had in recent years. We are also continuing our efforts to maximize key events consolidate to drive demand with our customers responding well. It’s more constant promotional strategy, which complements our broader strategy to minimize markdowns and show conviction in our solutions-based categories have led to improved margins. Turning to our international business. As with our U.S. business, our strong performance was driven by our authorities in transitional outer resolutions. Thanks to prioritizing newness and improved inventory management, we delivered margins that were in line with our U.S. business. Gross margin in Europe grew nicely by approximately 1,000 basis points year-over-year. During the third quarter, we continued executing on our licensing strategy, which adds royalty guarantees and new income streams, allowing us to continue to focus on our core capabilities. Recently, we entered into a licensing agreement for all kids categories and we are continuing to ramp up activities under our existing agreements with Costco. And as I mentioned on our last call for footwear, we expect to begin seeing income from three licenses in 2024. Moving forward, we expect to maintain our expanded focus on licensing and are continuing to build a robust pipeline of potential partners. Turning to the outfitters business, we are making headway in our efforts to enhance performance and ensure this critical business achieves the results we are confident it can. To be clear, we see great opportunity to profitably grow our share of the market serving businesses and tools and fuel our B2C customer acquisition engine. Our partnership with American Airlines and the upcoming launch of our partnership with Santander are great examples of our work to earn the business of large accounts. In addition, we will launch a new partnership with Healthcare Corporation of America in the first quarter of 2024 outfitting 3,500 managers and frontline employees in their [indiscernible] division. Similarly, we are expanding on the progress we made last quarter in our school uniform business through new relationships with school districts that will ramp up in 2024. We continue to see schools as a key pipeline for our outfitters business and having achieved a 92% satisfactory rate among our existing school partners this season, we believe we are well positioned to capture additional market share. We are providing innovation in our business with a planned introduction of integrated sizing technology for select B2B customers in schools with plans to roll it out more broadly. This tool provided by [indiscernible] allows the purchaser to scan their body with their phone and get fitted with a 97% accuracy rate, driving both customer satisfaction and an expected reduction in returns and exchanges. This technology which takes into consideration personal privacy and information security, also had applications to our B2C business, and we are actively exploring ways to integrate it with the consumer experience. We’re taking steps to drive efficiency across our B2B business during the process of reorganizing and revamping the organizational structure of our division to expand our reach and capture greater market share. We recently hired a new B2B business development leader with over 20 years of experience, who was focused on building out a pipeline of mid-market and enterprise opportunities. We also restructured our portfolio management team from a regional focus to a business segment or infrastructure that will enable our teams to hyperfocus on the unique needs of each customer growth. We’re working with our partners at Salesforce to enable a stronger data-driven sales process and also implementing marketing automation technology to improve customer communication create better defined customer journeys from outreach and lead generation and more effectively engage with existing and prospective customers. Moving to our third-party business we saw a nice improvement in the quality of the demand, thanks to the deliberate approach we took to better tailor our assortment to each marketplace and lead into successful categories with a focus on quality of sales, improving gross margin, better inventory turn and freshness. The results were bit with Macy’s, Target and Amazon performing consistently well with women outerwear and swim driving demand across each of these marketplaces. With the holiday season underway, the Lands’ End have launched an exclusive women swim collector target and select warm weather doors beginning November 26 for rollout 200 total doors by early January 2024. The new swim collection includes nearly 70 pieces of our iconic swimwear in new fabric print and colors, including excesses. We’re very excited to be partnering with Target to make our leading product category available to Target customers. Bernie will now discuss our third quarter performance as well as our fourth quarter outlook. Following that discussion, we will share what we’ve seen so far in the holiday season before taking your questions.
Bernie McCracken: Thank you, Andrew. For the third quarter, total revenue performance came in slightly below our guidance range at $325 million, a decrease of 12.5% compared to last year or 9% when adjusting for our Japan e-commerce business which closed in 2022 and accounted for $10 million of revenue in the third quarter of last year and excluding the $4 million difference in year-over-year revenue from Delta. As Andrew noted, we delivered adjusted EBITDA of $17 million, up 4% year-over-year, which exceeded the high end of our guidance range. Fundamental to these results is our conscious decision to focus on profitability and balance sheet efficiency versus solely on revenue, which has improved gross profit dollars and markets. Gross margin in the third quarter was 47% and an approximately 700 basis point improvement from the third quarter of 2022. The margin improvement was primarily driven by new products across the brand, strength in transitional outerwear and adjacent product categories, reduction in sales of clearance inventory and improvements in supply chain costs. While we are pleased with our gross margin improvements, we were focused on driving additional supply chain cost savings and product cost reductions and improved seasonal inventory management. While our U.S. e-commerce business saw sales decrease of 10% compared to the third quarter of 2022, we generated an increase in gross profit dollars of 7% driven by our concerted effort to reduce promotions within categories, especially our outwear solutions, new products across the brand and improved inventory management. Sales in our euro e-commerce business in the quarter were down 8% year-over-year, reflecting continued macroeconomic challenges but again, increased gross profit dollars by 18%, driven by promotional effectiveness and improved inventory management. Globally, e-commerce sales decreased 13% from last year or 10% when adjusted for Japan. Sales from Lands’ End outfitters were down 8% from the third quarter of 2022. Excluding the $4 million difference in year-over-year revenue from Delta, the outfitters business was down 3%, primarily driven by high single-digit growth in both our national accounts and midsized customers more than offset by school uniform due to timing shifts in back-to-school deliveries last year related to supply chain disruptions from the second quarter to the third quarter. Revenue for our third-party business was down 22% compared to the prior year, primarily driven by weaker performance at Kohl’s, partially offset by strong performance at Macy’s and Target. Our partnership with Macy’s, which launched this year, is performing very well, driven by strong sales in women’s, swim and apparel. SG&A expenses increased $3 million compared to last year as a percentage of sales, SG&A was 42%, which was an increase of 590 basis points compared to 2022. We primarily due to approximately 400 basis points of deleverage from lower revenues at 145 basis points due to higher incentive-based personnel costs. Partially offset by lower marketing and continued cost controls. We’re continuing to look for ways to improve SG&A and we’ll be taking action to drive savings as we continue to evolve our digitally native business. During the third quarter, we took a $107 million impairment of goodwill due to the decline of our stock price and the resulting market capitalization, which led to a net loss for the quarter of $112 million or $3.52 per share compared to a net loss of $5 million or $0.14 per share in 2022. Excluding the non-cash goal impairment, our adjusted net loss was $4 million or $0.11 per share. Moving to our balance sheet. Inventories at the end of the third quarter were $422 million compared to $565 million a year ago. A 25% improvement in our inventory position was a result of the actions the company has taken to improve inventory efficiency by reducing inventory purchases and capitalize on speed to market initiatives. Year-to-date net cash provided by operations was $163 million per year than last year, primarily due to this improved inventory productivity. In terms of our debt, at the end of the third quarter, our term loan balance was $234 million and our $275 million ABL had $110 million of borrowings outstanding which was $50 million lower than the third quarter last year. Despite lower borrowings outstanding on the ABL, we continue to have elevated interest expense driven by higher market rates. We’re continuing to explore opportunities to refinance our debt and are committed to doing so subject to favorable market conditions. During the third quarter, we repurchased $3 million worth of shares under the company’s previously announced $50 million share repurchase authorization, bringing the balance of the remaining authorization to $32 million as of the end of the quarter. Now moving to guidance, building on our prior discussion, we are continuing to prioritize high-quality sales and improved cash flows, which we expect to drive continued gross profit and margin expansion during the holiday season. In the fourth quarter, we expect net revenue to be between $490 million and $520 million. We expect adjusted net income of $8 million to $11 million and adjusted diluted earnings per share to be between $0.25 and $0.34. We expect adjusted EBITDA to be in the range of $217.5 million to $31.5 million, which takes into account SG&A impacts related to normalized compensation approach. Based on our third quarter results and fourth quarter guidance, we’re updating our full year guidance and now expect net revenue of $1.45 billion to $1.48 billion. We expect adjusted net income to be in the range of a net loss of $5 million to $2 million. An adjusted diluted loss per share of $0.16 to $0.07. We expect adjusted EBITDA to be in a range of $80 million to $84 million. Our guidance for the full year incorporates approximately $35 million in capital expenditures. As we have discussed, our improved inventory benefit will enable us to maintain inventory had normalized levels and bolster our work to further expand gross margin moving forward. And with that, I will turn the call back over to Andrew.
Andrew McLean: Thank you, Bernie. Before we wrap up, I’d like to briefly touch on our holiday sales trends. Like other retailers, we introduced Black Friday promotions earlier this year and began to see traffic ramp up as we progress through November with significantly stronger traffic and increased gross profit dollars across our channels on Black Friday and over the weekend, had a [indiscernible]. This holiday season, we are better engagement with our customers through our improved brand focus debit higher-quality sales, further supporting our enhanced inventory position as we approach the end of our fiscal year. Like other retailers, holiday promotions are higher than across the balance of the year. However, we continue to scale those promotions back versus prior holiday periods and remain committed to our strategy of driving increased gross margin in both dollars and rate. We will remain competitive with our pricing and be smart about how we target the different segments of our customer file to drive classical demand throughout the holiday season. However, we remain cautious given that we set and the additional weekend between Black Friday and Christmas, which could push some business later and beyond our shipping cat loss. As I mentioned earlier, we are confident that we have found the winning formula to achieve more conductive sales by focusing on a better understanding of our customers’ shopping behavior and faster-moving inventory. Our customer-centric strategy is working, as I am pleased with the progress our team has made. As we continue to play to our strengths and improve operational efficiencies across the business, we’re well positioned to finish strong through the year. That concludes our prepared remarks. We look forward to your questions.
Operator: [Operator Instructions] We will take our first question from Dana Telsey with Telsey Advisory Group. Please go ahead.
Dana Telsey: Hi. Good morning everyone and nice to see the progress on the profitability. The continuation of the lower inventories, I think down 30% in the second quarter, down 25% now in the third quarter. Where do you see what the normalized rate of inventory level should be, how are you planning that going forward? And then on – it’s nice to see scaling back on the promotions that you are seeing, especially post the Black Friday time period, what are you seeing in terms of categories, outerwear, how are you planning? How are AURs? And then on the margin focus, what are you seeing in terms of under the hood on the margins, whether it’s freight or whether it’s AUC, what is the opportunity for the gross margin going forward? Thank you.
Andrew McLean: Dana, how are you?
Dana Telsey: Good. How are you?
Andrew McLean: Good. So, leading into the question that we continue to see opportunity with inventory and pulling that back, working on the working business more to return and see an opportunity to move in the business between three turns and four turns. I mean obviously, it gets harder as the turns increase where you are looking, but it’s a function of the speed that we are putting into our supply chain. So, I mean we have talked a lot, and this is going to be related to your AUR comments as well. We have talked a lot about getting speed in and having more freshness, more consistently in the business month-after-month-after-month versus that more traditional model of not buying twice a year. And that in and itself will give us more opportunity to increase the turns going into next year, and it will give us opportunity to just show up and maintain the average of retail. I am going to talk to scaling back promotions. We scaled back promotions even through Black Friday and Cyber Monday. I just want to emphasize that point in the script. We did come into early, one of the things I have noticed about Lands’ End, it’s probably more to do with our capital in history than everything else. We really kick off holiday in October. October tends to be a bigger month for us than August, but that’s different than I have experienced in my career. And it’s really – it’s the start of the holiday shopping period. And holiday for us is really all about successful October and November and in that last couple of weeks after Cyber Monday. So, what you saw is that really begin to market Black Friday in October, consistent with our starting holiday, and that’s what’s new in there. In terms of the overall level of promotion, they were falling and they were falling consistently it’s seen to be a lot of box of offers that we have traditionally done. You would see it going up to 70% like last year up to 70% growth. Roughly 40% cost. But that’s where we have started as we sort of pulled the needle out in terms of where the problems are at. We saw that the customer came with us on the journey, particularly when we offer newness in there. We noted in the call in Q3, and it’s been something we have seen all year that the women’s categories were all posting double-digit comps and gross margin comps. And it would be fair to say that we have seen that continue. We have seen very successful acceptance of our products in those categories. Answering your question about categories, as we so worried, but not worried, we took some – we made some changes in how we approached outerwear. Coming through last year, we clearly were taking really our fabrics outside into [ph] markets. We were discounting them as gifting for Black Friday or Cyber Monday, and it was just too much discount to be given. And I felt we needed to take a different direction on that. In addition to that, it’s not a political statement. Winters are getting warmer and they happen later. So, we had changed the weighting of the fabrics and the products that we brought in really for the early part of holiday. So, it was less about that heavy outerwear, I will tell you, certainly in the Midwest today as we sit here in the snow. But for the first five weeks, six weeks, we really got behind other programs. We brought in a pricing [indiscernible] but it’s the best program that’s been very successful. It gave us a price point at a margin and it actually fits with where climate with that. In addition to that, we brought in a new middleweight jacket. We have introduced a new program wonder weight and when it balanced it, but it’s pack and pull down, and it’s been a very successful sort of entry price point into heavier outerwear for us. So, very pleased with how warehouse performance has been, but how women’s has performed. And actually, we showed that we brought categories alongside that along for the ride. We saw good performance in men’s and actually even products like Hub last year. I remember this very clearly, we were discounting Hub very heavily. We haven’t needed to do that. Then actually on the one-off that we gained were towards a $10 Supima Towel, I mean we sold a lot of towels that day. There was about pent-up demand waiting for it. Last part of it, as we think about the AUC and the margin conversation, we have got a lot of our gains in Q3 from actually lower discount rates. The real benefit of the average of the cost work that we did is still need to come to us. If you remember, we made the arrangement and made the changes in our sourcing organization to move to lean fund that was a Q2 event, and we really – even with the seat of our supply chain, we will do the full effect of that given inventory turns and so little to back half of next year. So, we still think that the best is to come in terms of continued margin upside from AUC. And the discounting, we have started with women’s and like women’s is where we have seen the most progress as we expand that thinking there to other categories, we see that we will be able to continue that momentum as well. And it’s the story as best, Dana, we stayed with it pretty consistently since I took over absolutely committed to it. I believe we will get this done. And this is a really great margin story that we have in Lands’ End at the moment and really a re-elevation of our product. And then, Dana, I will just add for the inventories for perspective that you can use pre-pandemic levels as a guide to what our future levels will be and the timing of the inventory levels. And then you also received benefit as you have saw are in the announcement that we also have announced a number of license with kids, our licensing arrangements will also have a benefit to reducing our inventories.
Dana Telsey: Got it. Thank you very much.
Andrew McLean: Thanks. You bet.
Operator: Thank you. Our next question will come from Alex Fuhrman with Craig-Hallum Capital Group. Please go ahead.
Alex Fuhrman: Hey guys. Thanks very much for taking my question. So, clearly, the focus on prioritizing profitability over revenue is producing some nice results here. I am curious how much more room you think there is to pull back on unprofitable sales? Could there be another leg down of revenue as you identify more promotions or clearance activity that you want to pull back on? And then looking out over the next couple of years, as you add more high-margin revenue, presumably from growing the licensing business, can you continue to grow EBITDA without necessarily a big increase in revenue? Can this be a $100 million EBITDA business on the current $1.5 billion revenue base as you start to grow some of those other areas like licensing?
Bernie McCracken: Yes. Alex, I am not sure you have been sitting in some of our strategy meetings. But yes, I think what really is important for us when we talk about licensing, that’s one of the strategies that will reduce our current sales. When we get out of the products, we are not as focused on and we don’t have authority on. We will be able to drive without a top line, we will be able to drive a better profit, a better net income number from a licensing arrangement than selling a lot of product at clearance that we tended to do in the past. So, I think you would definitely hit on that we expect to be able to drive up $1 million of EBIT, $1.5 billion revenue company.
Andrew McLean: And we can say that, Alex, it’s like as we look further out, there is a point where we have the customer reeducated. That’s what’s happening right now. I mean that we have customer deciles and our lowest decile is the one that we have probably averaged the most customers, they love the brand, they are committed to the brand. You know what customers come then they stay with Lands’ End ‘17, ‘18, ‘19 years. What they are not – what they are struggling most to respond to is that they traditionally uses a little bit like a such option, which is like they put product in their basket and they wait and talk they get the price they want, and then they will buy it. We are moving towards customers who will buy the product narrow or it won’t be there. We are not going to discount our product. We are going to spend on our brands. We are going to stand on what we believe are the key attributes of the Lands’ End solution company that we have built and we are going to drive that. And I think what you will see, and we are seeing ourselves in our internal discussions is we are shifting from – sorry, all simple decile based model that looks at our customers the same and we are moving to more thoughtful psychographic model that looks at customers in cohorts and the two cohorts that we have identified are resolvers and evolvers. And it would be fair to say that we have used the fourth quarter to start repositioning some of the thinking around them and how we go to market to them, how we sell to them more uniquely versus more generically and how we attract them, part of what we have been doing in Q4 and part of what we use Black Friday and Cyber Monday for us to go out and find new customers, new customers that we like, which is why – and I know with just some throwaway comments in the script, but it’s why we talk so much about social media. We really like the customer we are finding from that. They fit our revolver platform, and it’s like they are much less inclined to buy at a discount. So, we are doing the hard work right now, the commitments you are getting from me, the commitments you are getting from this management team is that we are going to deliver gross margin comps in dollars. This isn’t just about getting rate and declaring victory. We understand, so we are here to drive EBITDA and ultimately, earnings per share. And it’s like we are fairly focused on that. So, we are constantly evaluating that and threading that need every day, be that Black Friday, Cyber Monday or just like Casual Tuesday in January.
Alex Fuhrman: Okay. That’s really helpful. Thank you. I appreciate your insights, and congratulations again on the strong third quarter results.
Andrew McLean: Thank you.
Operator: Thank you. This does conclude today’s Lands’ End third quarter earnings call. You may all disconnect at this time and have a wonderful day.